Operator: Good day, ladies and gentlemen, and welcome to the Toro Company Fourth Quarter and Full Year Fiscal 2024 Earnings Conference Call. My name is Marvin, and I'll be your coordinator for today. At this time, all participants are in a listen-only mode. We will be facilitating a question-and-answer session towards [Technical Difficulty] for replay purposes. Now, I turn the presentation over to your host for today's conference, Julie Kerekes, Treasurer and Senior Managing Director of Global Tax and Investor Relations. Please proceed, Ms. Kerekes.
Julie Kerekes: Thank you and good morning, everyone. Our earnings release was issued this morning and a copy can be found in the Investor Information section of our corporate website, thetorocompany.com. We have also posted a fourth quarter earnings presentation to supplement our earnings release, along with an updated general investor presentation. On our call today are Rick Olson, Chairman and Chief Executive Officer; Angie Drake, Vice President and Chief Financial Officer; and Jeremy Steffan, Director - Investor Relations. During this call, we will make forward-looking statements regarding our plans and projections for the future. Forward-looking statements are based upon our historical performance and current expectations and are subject to risks, uncertainties, and other factors that may cause actual results to differ materially from those contemplated by these statements. Additional information regarding these factors can be found in today's earnings release and in our investor presentations as well as in our SEC reports. During today's call, we will also refer to non-GAAP financial measures, which we believe are important in evaluating the company's performance. For more details on these measures, the most comparable GAAP measures, and a reconciliation of the two, please refer to this morning's earnings release and our investor presentations. With that, I will now turn the call over to Rick.
Richard Olson: Thanks, Julie, and good morning, everyone. During fiscal 2024, we delivered net sales growth in an extremely dynamic operating environment, enhanced our best-in-class distribution network, and began to successfully execute on our major productivity initiative we call AMP and we introduced exciting new products that help our customers succeed with innovations they value. As we close out the year, our market leadership position across all our businesses remains strong. Our innovative product lineup is extremely compelling and we are confident in our ability to deliver value to our shareholders into the future. Looking at our full-year financial performance, we reported net sales of $4.58 billion, which were up about 1% over last year. This marks our 15th consecutive year of top-line growth and demonstrates the strength of our balanced portfolio, as well as the disciplined execution by our talented team. We delivered exceptional net sales growth for underground construction products and golf and ground solutions. Our team substantially increased production within our manufacturing footprint as we strategically managed output to address strong end-market demand and satisfy our customers. This sustained demand continues to keep order backlog elevated for these businesses. Top-line growth for the fiscal year was also exceptional in our residential segment. This was driven by successful new product introductions that exceeded expectations, along with the strength of our mass channel, including the first 10 months of our new strategic partnership with Lowe's. This relationship is off to a fantastic start, highlighted by our respective leadership in the zero turn mower category. We were honored to be recognized by Lowe's as Vendor of the Year for their seasonal and outdoor department. The strength in these areas helped offset industry-wide dynamics affecting other parts of our portfolio. These dynamics included the post-pandemic correction and macro caution we're navigating with lawn care products in our dealer channel as well as two consecutive seasons of below-average snowfall for our snow and ice management businesses. Turning to profitability, we delivered adjusted diluted earnings per share of $4.17 for the full year, in line with our expectations. Our margins were affected by a product mix given the outsized growth in our residential segment and reduced shipments of higher-margin snow products. However, on a full-year basis, productivity and net price benefits offset inflation, including the cost of adjusting production throughout the year as demand patterns continued to shift. We were extremely pleased to deliver an increase of more than $300 million in free cash flow for the year. This enabled us to return nearly $400 million to shareholders, including share repurchases of about $250 million and an increase in our regular dividend payout. These actions demonstrate our confidence in our ability to generate strong free cash flow and deliver positive financial results into the future. Turning to the fourth quarter, net sales increased 9.4% over last year, driven by increased outputs and shipments for our underground construction equipment and golf and grounds products as expected. We also saw growth in shipments of lawn care products to our mass channel and strong dealer demand for our newly launched Exmark Laser Z professional grade zero turn mowers. These new models raise the bar for reliability, cut quality and productivity, and offer Exmark's exclusive Adapt technology to quickly adjust the deck rake without tools. This enables optimum performance on any turf in any conditions. As Exmark celebrates 30 years of leadership, it's no surprise that Exmark Mowers are preferred two to one by landscape professionals over the next best-selling brand. Adjusted diluted earnings per share for the fourth quarter increased 34% to $0.95. This result was in line with the outlook we shared on our third quarter call. Similar to the full year, sales mix was a margin headwind during the quarter with more residential growth and less snow shipments than originally expected. Even so, our team executed with discipline to prudently manage expenses and drive the best possible outcome. Throughout the year, we advanced our three enterprise strategic priorities of accelerating profitable growth, driving productivity and operational excellence, and empowering people. I'll highlight examples of each. First, we continue to leverage innovation breakthroughs across our businesses. Innovation is the lifeblood of our company and key to driving long-term profitable growth. During the year, we introduced new products aligned with market growth trends and the productivity needs of our customers. Some examples include the Ditch Witch W8 Warlock Series vacuum excavator for underground construction, which provides maximum performance in a compact footprint. This enables underground contractors to safely and efficiently expose, install, and make repairs to utility infrastructure even in congested areas. The Toro Grounds Master E3200 fully electric upfront rotary mower for golf and grounds, this machine leverages our proprietary hypercell battery system to increase productivity with significantly quieter operation, zero exhaust emissions, and no compromise on cut quality. And we launched new and improved zero turn mower models across all three of our brands, Exmark, Toro, and Spartan. We also continue to advance our autonomous solutions and are planning wider launches of residential and professional autonomous mowers in fiscal 2025. Second, our team did an outstanding job of delivering productivity gains this year in a quickly changing environment. We remain on track to deliver $100 million of annualized run rate savings by fiscal 2027 from our multiyear productivity initiative named AMP for amplifying maximum productivity. As we've discussed, we intend to prudently reinvest up to half of the savings to further accelerate innovation and long-term growth. In its first year, our team implemented $14.5 million of annualized run rate cost savings, slightly ahead of our expectations. We also made targeted portfolio adjustments to further position the company for profitable growth, including divestitures and brand consolidations. Earlier this month, we implemented additional adjustments to better align our organizational structure for our long-term strategic priorities. This resulted in the difficult action to reduce our workforce by approximately 300 primarily salaried employees. Obviously, this wasn't a decision we took lightly. And third, we ensured our employees and channel partners were aligned and empowered to deliver superior customer care in what was once again a very dynamic operating environment. Our team remained agile and never wavered from our commitment to doing business the right way. In doing so, they successfully strengthened our market leadership in our attractive end markets. I'd like to reiterate the high confidence we have in our ability to capitalize on future growth opportunities, while simultaneously driving profitability improvement. With that, I'll turn the call over to Angie.
Angela Drake: Thank you, Rick, and good morning, everyone. We were pleased to deliver net sales growth in the quarter and for the full year. At the same time, we drove productivity and net price benefits and continued to make progress in addressing elevated order backlogs and field inventories. Consolidated net sales for the quarter were $1.08 billion, up 9.4% from Q4 last year. Reported EPS was $0.87 per diluted share, up from $0.67 in the fourth quarter of last year. Adjusted EPS was $0.95 per diluted share, up 34% from $0.71 a year ago. For the full year, net sales of $4.58 billion were up from $4.55 billion last year. Reported EPS was $4.01 per diluted share. This compares to $3.13 last year, which included a non-cash impairment charge in our Professional segment. On an adjusted basis, full-year EPS was $4.17 per diluted share, down slightly from $4.21, a reflection of product mix with growth weighted to our Residential segment. Now to the segment results. Professional segment net sales for the fourth quarter were $913.9 million, up 10.3% year-over-year. This increase was primarily driven by higher shipments of golf and grounds products and underground construction equipment, as we address the sustained demand that has kept order backlog elevated and net price realizations. This was partially offset by lower shipments of compact utility loaders as expected, given that field inventories have replenished and lower shipments of snow and ice management products also as expected, given elevated field levels heading into the season. For the full year, Professional segment net sales decreased 3.2% to $3.56 billion and comprised 78% of total company net sales. Professional segment earnings for the fourth quarter were $169.7 million on a reported basis, up from $124.5 million last year. When expressed as a percentage of net sales, earnings for the segment were 18.6%, up from 15%. The positive change in profitability was primarily due to productivity improvements, net sales leverage, net price realization, and product mix. This was partially offset by higher material and manufacturing costs. For the full year, Professional segment earnings were $638.9 million, up from $509.1 million in fiscal 2023. As a percentage of net sales, segment earnings were 18%, up from 13.9% last year. Residential segment net sales for the fourth quarter were $155.1 million, up 4.5% compared to last year. Growth in the quarter was primarily driven by higher shipments of lawn care products to our mass channel, partially offset by lower shipments of snow products and higher sales promotions. For the full year, residential segment net sales were $998.3 million, up 16.9% from $854.2 million in fiscal 2023, and comprised 22% of total company net sales. The Residential segment reported a loss of $13.8 million compared to a $4.5 million profit last year. The year-over-year decrease was largely due to higher material and freight costs, higher warranty and marketing expense and product mix. This was partially offset by productivity improvements. As we expected, we recognized an outsized impact of higher material and freight costs in the quarter. This was due to the timing of production and shipments throughout the year. The variability was more pronounced than typical given the unique circumstances. We prioritized being a good supplier, while at the same time adjusting to rapidly changing demand dynamics. For the full year, Residential segment earnings were $78.4 million, up from $68.9 million. As a percentage of net sales, segment earnings were 7.9% compared to 8.1% last year. This was largely a reflection of product mix within the segment this year with the reduction in snow shipments and the weighting towards entry-level zero turn mowers. Turning to our operating results for the total company; our reported and adjusted gross margin were 32.4% and 32.3%, respectively, for the quarter. This compares to 33.5% and 33.6% respectively in the same period last year. The decrease was primarily due to higher material, freight, and manufacturing costs. This was partially offset by productivity improvements. For the full year, reported and adjusted gross margin were 33.8% and 33.9% respectively. This compares to 34.6% and 34.7% in fiscal 2023. The change was primarily driven by higher material and manufacturing costs and product mix. This was partially offset by productivity improvements. SG&A expense as a percentage of net sales for the quarter improved to 22.3% from 23.9% a year ago. The improvement was primarily driven by net sales leverage, lower incentive compensation, and lower marketing costs. This was partially offset by higher warranty expense. For the full year, SG&A expense as a percentage of net sales was 22.2% compared to 21.8% last year. Operating earnings as a percentage of net sales for the quarter were 10.1%, up from 9.6% in the same period last year. On an adjusted basis, operating earnings as a percentage of net sales were 10.9%, an 80 basis point improvement from the fourth quarter a year ago. For the full year, operating earnings as a percentage of net sales were 11.6%, and on an adjusted basis were 12.2%. These both compared to 9.5% and 12.9% on a reported and adjusted basis respectively in fiscal 2023. Interest expense for the quarter was $14.5 million, down from $14.9 million last year. The decrease was primarily due to lower average outstanding borrowings and lower average interest rates. Interest expense for the full year was $61.9 million, up $3.2 million. The year-over-year increase was primarily due to higher average interest rates, partially offset by lower average outstanding borrowings. The reported and adjusted effective tax rates for the fourth quarter were 17.7% and 16.9%, respectively. These compare with 19.1% and 19.3% a year ago. The decreases were primarily due to a more favorable geographic mix of earnings this year. For the full year, the reported effective tax rate was 18.3% compared to 17.7% in fiscal 2023. The increase was primarily due to the impact of non-cash impairment charges in the prior year and lower tax benefits recorded as excess tax deductions for stock compensation in the current year. This was partially offset by a more favorable geographic mix of earnings this year. The adjusted effective tax rate for the full year was 18.8% compared to 20.4% a year ago. The year-over-year improvement was largely due to a more favorable geographic mix of earnings. Turning to our balance sheet. Accounts receivable were $459.7 million, up 12.8% from a year ago, primarily driven by increased shipments to our mass channel as well as payment terms to that channel. This increase was expected given the initial year of our strategic partnership with Lowe's. Inventory at the end of Q4 was $1.04 billion, down 4.5% compared to last year and slightly lower sequentially from the third quarter. The year-over-year decrease was driven by reductions in both finished goods and work in process, primarily driven by lower balances related to lawn care products. This was partially offset by higher levels of compact utility loaders as expected. Accounts payable were $452.7 million, up 5.3% from last year, primarily driven by the timing of material purchases. Full-year free cash flow was significantly higher year-over-year at $471 million. This reflects a conversion ratio of 112% of reported net earnings, much improved from 50% in the prior year. Importantly, our balance sheet remains strong and provides financial flexibility. Our leverage ratio is within our stated target of 1 to 2 times on a gross basis, and we continue to benefit from our investment-grade credit ratings. During the quarter, we refinanced our $600 million revolving credit facility and a $270 million term loan that were both set to expire in October of 2026. We replaced those facilities with a $900 million revolver and a $200 million term loan. The increased revolver size is a reflection of the substantial growth in our company, since the last upsize in 2018, which was prior to the Charles Machine Works acquisition. This larger revolver also provides a mechanism to reduce future refinancing risk and easily accommodate modestly-sized acquisitions. Our disciplined approach to capital allocation remains unchanged with our first priority to make strategic investments in our business to drive long-term profitable growth, both organically and through acquisitions. We invested about $100 million in capital expenditures during fiscal 2024, and expect to invest another $100 million in fiscal 2025. Our next priority is to return capital to shareholders, both through our regular dividend and through share repurchases. We increased our dividend $0.08 per share or 6% for fiscal 2024, and our Board just approved another 6% increase for the first quarter of fiscal 2025. This consistent increase in our regular dividend payout over time demonstrates the conviction we have in our strong and sustainable future cash flows. With respect to share repurchases, we continue to fund buybacks with excess free cash flow while maintaining our leverage goals. We invested nearly $250 million in fiscal 2024 to repurchase about 2.8 million shares, while also paying off our outstanding revolver borrowings and $70 million of term loan. We plan to continue repurchasing shares in fiscal 2025, a reflection of our strong conviction in future profitable growth opportunities. In addition to the dividend increase, our Board authorized an additional 4 million shares under our repurchase program, putting the total authorization at just over 8 million shares heading into the new fiscal year. Before I provide details on our fiscal 2025 outlook, I want to take a few moments to address three topics that have been top of mind for investors. First, order backlog, which is our open order book at a point in time. We ended the year with a backlog of about $1.2 billion. This has improved from about $2 billion a year ago, but still elevated over what we would consider a normal range. The elevation is attributable to two areas of our business, underground construction and golf and grounds. We continue to expect backlog will be close to normal by the end of fiscal 2025. Importantly, we expect the sustained strength in these businesses will help avoid a significant gap as demand and supply normalize. We also expect field inventories of our lawn care and snow products to normalize, which should provide some offset. Second, field inventory. Field levels remain higher than ideal for our lawn care and snow businesses and much lower than ideal for underground construction equipment. For lawn care products, we still have a little work to get back to normal, similar to where we were at the end of last quarter. Importantly, we made significant progress in reducing dealer-filled inventories of lawn care products during fiscal 2024, driven by lower shipments, coupled with retail sales growth that outpaced industry averages. This outperformance in sell-through demonstrates the strength of our brands and market share and our attractive positioning as homeowner markets eventually rebalance. We expect to enter the upcoming turf season as well as the snow pre-season in the second half of fiscal 2025 in a much better field position compared to fiscal 2024. Third, I would like to comment on inventory financing. In our industry, inventory floor plan financing programs are the standard. From our dealer or distributor perspective, the financing operates the same, whether it is through Red Iron or another financial institution. From our perspective, the JV structure allows us to recoup a portion of the floor planning costs we pay as the OEM, which is a positive for us. In terms of Red Iron receivables, the balances move around seasonally as expected, given the retail flow also follows seasonal patterns. With this, our Red Iron DSO ticked up slightly sequentially from Q3 as is typical given the normal flow. However, compared to the fourth quarter of last year, we saw a slight improvement after adjusting for the onboarding of new acquisition balances. Importantly, our network of dealers and distributors remains financially sound. One data point to consider is the amount of repurchases we were required to make during fiscal 2024, which was immaterial as usual given the strength of our channel and brands. Now moving to our fiscal 2025 outlook. With the backdrop I just provided and based on our current visibility, we expect total company net sales growth in a range of zero to 1% for the full year. This assumes continued strong demand and stable supply for our businesses with elevated backlog, a continuation of the macro caution we have seen in markets connected to homeowners and weather patterns aligned with historical averages. It also considers the additional adjustments needed to normalize field levels of lawn care and snow products. For the Professional segment, we expect full-year net sales to be up low single digits. For the Residential segment, we expect net sales to be down high-single digits, which considers the continued rebalancing of our mass partners as well as the full-year impact of last year's Pope divestitures. Looking at profitability, for the full year, we expect improvement in both adjusted gross margin and adjusted operating earnings as a percentage of net sales. We also expect both the Residential and Professional segment earnings margins to be higher than last year. With this backdrop, we anticipate full-year adjusted diluted EPS in the range of $4.25 to $4.40. Additionally, for the full year, we expect depreciation and amortization of about $125 million to $135 million, interest expense of about $54 million, an adjusted effective tax rate of about 20%, and a free cash flow conversion rate of about 100% of reported net income. Turning to the first quarter of fiscal 2025, we anticipate total company net sales to be similar year-over-year. We expect Professional segment net sales to be up low single digits and residential net sales to be down mid-single digits compared to the same period last year. Looking at profitability, for the first quarter, we expect total company adjusted operating margin to be slightly lower year-over-year. We expect the Professional segment earnings margin to be similar to slightly higher than the same period last year and the Residential segment earnings margin to be slightly lower. Overall, we expect our first quarter fiscal 2025 adjusted diluted EPS to be slightly lower year-over-year. We continue to build our business for long-term profitable growth and are excited about the momentum we are seeing with AMP. As our current Drive for Five employee initiative sunsets, we are introducing our next initiative called Amp It Up. This new initiative will align and incent all employees to drive productivity and profitability with a goal to achieve a total company adjusted operating earnings margin of at least 14% by the full-year fiscal 2026. We are confident in our ability to drive productivity gains and profitability improvement across the enterprise. With that, I'll turn the call back to Rick.
Richard Olson: Thank you, Angie. We entered the new fiscal year with confidence and optimism. In an environment that has included industry-wide headwinds in some of our markets for the past few years, we've improved our operational capabilities and invested in innovation to position the company for long-term growth. Importantly, our business fundamentals and market leadership remain strong. Looking ahead, we are keeping a close eye on macro factors, including the economy, consumer and business confidence, and the geopolitical environment. We're closely monitoring the benefits and risks of any potential policy changes under the new administration and are prepared to take actions as appropriate. I'll now comment on the demand dynamics in our specific markets. For underground construction, we expect demand to remain strong, supported by both public and private multi-year spending. We have visibility into the compelling runway of projects to address global infrastructure needs, including communications, utilities, and data centers. Infrastructure spending remains a positive outlier in the broader construction industry with consistent growth projected for the foreseeable future. For Specialty Construction, which includes our Toro Dingo and Ditch Witch SK lines of compact utility loaders, field levels have been replenished across the industry. For the rental market, which is a meaningful part of specialty construction, expectations are for a return to mid-single-digit growth next year, following three years of double-digit growth. Next month's American Rental Association show should provide some initial visibility into 2025's order patterns. We'll be watching this along with demand trends in construction and landscape markets, where we expect some macro caution for homeowner projects. For golf and grounds, rounds played and new golfer data reinforce that the industry has sustained momentum worldwide. This in turn reinforces the durability of demand. We expect continued emphasis on equipment and irrigation investments for existing courses as well as demands driven by new course development. For lawn care solutions, starting with landscape contractors, we expect stable retail demand driven by regular replacement activity with some pockets of price sensitivity given the interest rate environment and field inventory that remains elevated in the industry. For homeowners, we expect the caution we have seen in these markets to continue into 2025, we will be watching how macro factors and interest rates affect consumer spending patterns over and above regular replacement needs. And certainly, favorable turf growing conditions would be beneficial. For snow and ice management, contractor budgets are in good shape following a better turf growing season. If more normal snowfall patterns return in fiscal 2025, we would expect in-season retail to pick up for both contractors and homeowners. So far, the weather patterns appear to be tracking more favorable than last year, but it's still early in the season. For residential and commercial irrigation and lighting, we expect the outlook for commercial products to be solid and outpace demand for homeowner projects. For homeowners, we expect continued caution at least in the near term. And finally, for agricultural micro irrigation, we expect similar conditions to last year with generally stable demand from growers. For all of our irrigation businesses, we are committed to designing end-to-end solutions that address the worldwide need for efficient water use. For example, our Aqua-Traxx Azul drip tape lineup for micro irrigation offers unmatched precision enabling growers to maximize crop yield with the least amount of water. We're also focused on automation that helps our customers stay connected, so they can easily manage and improve outcomes from any location. This includes our Toro Lynx and Toro DXi central control systems for golf and commercial applications as well as our Tempus AG automation system for agricultural use. Before we take questions, I'd like to reiterate why we're so excited about the future and what we see as the greatest growth opportunities ahead. First, we are excited about the underground construction business, which has extremely compelling near and long-term prospects, driven by strong global trends. There is rapidly-growing demand for data communication infrastructure and energy grid modernization as well as a global focus on replacing aging infrastructure. Importantly, we are very well positioned as a worldwide leader with the most innovative, comprehensive equipment and brand lineup in the industry, as well as a best-in-class channel and deep relationships. Second, our golf business is also exciting due to the winning combination of positive long-term market fundamentals coupled with our strong market leadership. Like underground construction, we have deep relationships and a comprehensive lineup of industry-leading innovative products and solutions. And we have a distinct competitive advantage as the only company to offer both equipment and irrigation solutions for this market and as the worldwide market leader in both. Third, we continue to strengthen our multi-brand leadership in the important zero turn mower space. This represents the largest single lawn care category for both our professional and residential segments. We've enhanced our market leadership position through investments in our innovative product lineup and the strategic development of our independent dealer networks and mass partnerships. We're positioned extremely well for further growth, especially as these markets return to normal strength. Fourth, we have a proven ability to leverage our technology and innovation investments across our broad portfolio. This enables the accelerated development of new products that help our customers drive productivity and superior results while enhancing the total company's competitive advantage and ensuring market leadership into the future. We are excited about the upcoming retail launches of autonomous products across our portfolio, including residential, commercial, and golf applications. This includes our Toro Haven Robotic Mower, Exmark, Turf Tracer with XiQ technology, and GeoLink Solutions Autonomous Fairway mower. We will continue to drive return on innovation with prioritized investments, including the key technology areas of alternative power, smart connected and autonomous solutions. And finally, it comes down to our disciplined execution and consistent financial performance. We've reported 15 consecutive years of top-line growth. We've built a strong and agile organization that has been resilient through many macro cycles. We have a talented team that is determined to capitalize on all of our opportunities and we have the best network of strategically aligned channel partners focused on going above and beyond to serve our customers every day. All of this positions us extremely well to drive value for our customers, our channel partners, and our shareholders in both the near and long term. With that, we will open up the call for questions.
Operator: [Operator Instructions] Your first question comes from the line of Eric Bosshard of Cleveland Research Company. Your line is now open.
Eric Bosshard: Thanks. Two things. I guess, first of all, the residential profit contraction in the quarter was a little different than I guess what many 4Qs have looked like. Anything unique or any way you could help us better understand the Residential profit performance in the quarter?
Angela Drake: Good morning, Eric. Yes, I'll take this one. So, we anticipated a tougher quarter in Q4 for Residential. We had less volume as usual and mix also played a role with that with snow and more entry-level zero turn mowers. We also have focus on being a good supplier, which we mentioned in our prepared remarks, and that drove some increased freight, some manufacturing efficiencies, and some additional programming as well. Overall, just a reminder, if you look at the full year, we're at about 8% operating margin -- residential margin for the year.
Eric Bosshard: Yes. And then, Rick, I thought it was helpful to hear a lot of tailwinds that you see within the business as we move forward. I guess the question is 90 days ago, I think the expectation was Pro up 15% and it was up 10% in the quarter. And I know there was talk of 5% or perhaps a path to 5% growth in 2025 and now it's zero to 1%. And so I guess my question is with the tailwinds certainly intact, like what's different in terms of the revenue performance in Pro in the quarter and the total outlook in 2025?
Richard Olson: Yes. I think if you -- first of all, good to hear from you, Eric. If you look at the Pro business, if you look at just in general, our outlook for next year, it does reflect a little bit of the caution that we saw and started to talk about in the third quarter, particularly with those the homeowners that are buying the professional products on the landscape contractor side. So that's part of what continues into next year as well. We have yet to see how that plays out along with other factors. And then keep in mind, snow has -- we're off to an okay start, I guess, for the season, but that's factored in as well. We do see, obviously, continued strength in Pro from the major areas where we've had backlog, the underground construction, and golf and grounds, which are in extremely healthy conditions. So it's really these other factors. CULs were off a little bit, and we see some adjustments taking place in that as we get into the first part of the year. But we're well positioned in our markets from a leadership standpoint and well positioned for the future for Professional growth. I think it just reflects the caution that we talked about in the third quarter.
Eric Bosshard: Okay. Thank you.
Operator: Thank you. One moment for your next question. And your next question comes from the line of Mike Shlisky of D.A. Davidson. Your line is now open.
Mike Shlisky: Yes, hi, good morning and thanks for taking my questions here. [Multiple Speakers] hey there, guys. Hey, can you give a little more detail on the AMP It Up initiative that you mentioned, Rick. Looking at your slides here, it's got a nice-looking logo. I guess I'm curious how it differs from the original AMP program that you've got here. I guess is it an amped-up version of what you're already doing? And a little bit more about what's involved. Does it involve taking more employee suggestions and rewarding them for it? Or are there other things we should be thinking about here?
Richard Olson: Well, first of all, I'll let Angie talk about this. She's actually our sponsor of AMP, and AMP It Up is really an extension of our AMP initiative. If it's - if you recall, Mike, you've got a lot of history with us. You understand some of the employee initiatives that have been really central to -- for focusing our employee base on what's really critical. In this case, we're really compounding the emphasis on our AMP initiatives, amplifying maximum productivity, by really focusing our entire employee base on productivity, cost improvements, efficiency, lean factors, et cetera. And with that, Angie, did I kind of cover it?
Julie Kerekes: Yes, that covers it really well. This year is going to be -- or this time it's going to be a two-year employee initiative. And just a reminder, it's our internal goal, it's not guidance, but it will be a profitability focus, like you mentioned, Mike, with all employees being focused on profitability. So really aligned with that productivity initiative that Rick mentioned and for all of us to go look for ways to become more profitable.
Mike Shlisky: Okay. Fair enough. I also want to ask about your autonomous products that you've mentioned a few times in your comments, Rick. It sounds like it's going to be a bit of a larger launch than maybe previous tests have been. It sounds like this is a real retail launch here. Any thoughts as to what the penetration might be after the first year? Maybe secondly, after the 50, like what's the curve you expect to see here given the product and kind of what it delivers? It might differ by the Residential versus the Professional group. Just kind of thoughts as to what that might mean mix-wise and margin-wise over some period of time would be appreciated.
Richard Olson: Thank you, Mike. Yes, you are correct. This is a pretty significant launch across three areas. So it includes both our golf, it includes our golf business, the commercial equipments with the turf tracer and the Haven on the consumer side or the homeowner side. If you look at penetration, we don't have specific numbers that we're talking about at this time, but the penetration would be higher in the kind of the order that I gave them. So higher penetration in golf and the commercial applications. The residential business is already a very competitive business from a robotic standpoint. So just by nature, there are a lot more players there. But this is really the fruits of the labors of many people and the investments that we've made through the years. These are really astonishing technology if you have a chance to see it operate, see these machines operate and it's really an indicator of more to come. I would just add, Mike, it's probably the reason why you're asking the question, but the timing could not be better as our customers are extremely concerned about labor availability as we go forward. So there's more interest than ever. So it's been -- there's been a lot of work that has gone into these products and this technology and the timing of introducing could not be better.
Mike Shlisky: Exciting, Rick. Thanks so much for the discussion. I'll hop back in the queue.
Richard Olson: Thanks, Mike.
Operator: Thank you. One moment for your next question. Your next question comes from the line of David MacGregor from Longbow Research. Your line is now open.
David MacGregor: Yes, good morning, everyone. Thanks for taking the questions. I guess I wanted to start on the residential business and you had stronger than expected growth in the fourth quarter, but first quarter guide is down mid-single digits. Can you just discuss the extent to which fourth quarter programming and promotions may have pulled forward unit volume from first half 2025?
Richard Olson: Yes, good to talk to you, David. And really, if you look at the first quarter guide, it's really consistent with what I mentioned before, it really reflects what we talked about in the third quarter, more caution from our homeowners as we head into this year, the lower snow even relative to last year. And as we -- consistent with our commentary previously, the channel has a lot of snow products in it right now. So even as we're getting a little bit of snow happening, it's drawing down that field inventory and it creates more of an opportunity for the second half for us. So, that's -- the snow itself is a headwind. And we'll, Lowe's will be part of the snow story as we get into the second half of the year. Yes, those are probably some of the bigger factors. And then if you look at, if you do look at our forward projections on residential, we would be taking out the Pope divestiture that becomes part of it. And bottom line, the positive side is what's driving our business there is a great product lineup with the investments that we've made in that area. So, any caution that you see there just reflects what we talked about in the third quarter. It's still kind of the off-season for the spring products. So we'll really see how that flows and the macro factors that were there, if there's improvements in those.
David MacGregor: Right. So I have a follow-up question, but I just want to clarify here. So you're saying that pull forward was not an issue here in terms of the strength in 4Q versus the weakness in 1Q?
Richard Olson: Nothing unusual for us pull forward -- with regard to pull forward. It's an atmosphere right now where there is a lot of industry-wide promotion. The independent factors that we can see we're actually in a better -- significantly better field position than our competitors. You also can get -- there are factors, for example, new product introductions, Exmark, our Exmark team introduced a new laser from the platform. I think we mentioned in our prepared remarks, those have entered the market. So there are a lot of factors, but we don't have any discomfort about pull forward in the fourth quarter.
David MacGregor: Okay. And then my follow-up question is just with regard to the 2025 guidance, and you've talked about net sales growth relatively flat, maybe up 1%, but you've got your margins, adjusted gross margins up and not slightly. I mean, there's no word slightly in there. So you feel like you're setting up for a pretty good incremental performance, incremental margin performance. I was wondering if you could just sort of talk about the puts and takes within that incremental margin performance. What is driving that strength in 2025?
Richard Olson: And Angie can maybe speak to the specifics, but just in general, it reflects our strategy to position ourselves next year with -- even if there is lower growth on the top line, we want to position ourselves to be able to improve profitability. That's reflected in AMP. It's reflected in the actions that we've taken that we've described even workforce reduction, those kinds of things, but positioning ourselves to be able to improve profitability. And if we are surprised to the positive, we won't regret positioning ourselves to be more competitive as well.
David MacGregor: That's great.
Angela Drake: Yes. But I'll just also add that some product mix, we expect some additional snow and it will be better in the back half than it is in the first half.
David MacGregor: Great. Do you expect that raw materials would be a good guy next year?
Angela Drake: I think we're pretty stable on our commodities overall. Some favorability maybe to continue into the first half of 2025.
David MacGregor: Got it. Thanks very much.
Angela Drake: You bet.
Richard Olson: Thank you.
Operator: Thank you. One moment for your next question. Your next question comes from the line of Tim Wojs of Baird. Your line is now open.
Tim Wojs: Hey, everybody. Good morning.
Richard Olson: Thanks.
Julie Kerekes: Good morning.
Tim Wojs: Maybe just my first question is maybe just the EPS kind of cadence for the year. So thanks for the Q1 comments. I guess as you think about the rest of the year, I mean, should we expect or are you expecting earnings growth on a year-over-year basis for the remaining three quarters? Or is the guidance kind of more second half weighted than that? Just trying to kind of think about how that -- how we should kind of pace earnings through the year.
Angela Drake: So, we haven't guided specifically for the rest of the year there. But our cadence is typically that our second and third quarters are our largest quarters as is typical. We do expect to close into a more normal backlog by the end of F25. And for sales and EPS both, we expect our second half to be greater than our first half really because of that snow and lawn care field inventory being in a better position.
Tim Wojs: Okay. And I guess on the backlog, you ended the year at $1.2 billion, you kind of chewed through a fair amount of that. I mean, what are you kind of implying, when you say normalized backlog and kind of ending the year at a normalized number, what are you kind of implying for that? And I guess within the $1.2 billion, how much of that today is golf and how much today of that is underground now?
Richard Olson: Yes. The two largest remaining areas that you called them out are golf and grounds and underground. And what we've talked about is getting down to a more normal run rate. I mean the positive thing about those two remaining areas is the long-term demand trends for them look to be extremely positive. So our goal this year is to bring them down to the more long-term run rate, because the demand looks quite durable there. And I mean, the good news, we also have offsets. We have businesses that are going through a correction right now that we would expect to return to contributing to that as we get into this year. So it really speaks to the strength of the portfolio. We've been able over the last two years to really weather those corrections in those markets with the business that we're talking about here with underground and golf and ground.
Angela Drake: I would just add to that. We've made progress in both of those businesses for volume for golf and grounds and underground construction in F 2024.
Richard Olson: Our ability to produce within our given footprints has been a tremendous help to our business and that really speaks to the work that our operations people are doing.
Tim Wojs: Okay. So you don't have like a normal -- like you don't have like a number where you're saying like $700 million or something like that's a normal backlog or...
Angela Drake: Yes. We've got something in mind. I think that we're thinking it's probably south of $600 million.
Tim Wojs: Okay. That's helpful. And then I guess just -- I mean on this just like mathematically, can you prevent like an air pocket in fiscal 2026 in like golf and underground? Just I guess if you're shipping backlog, you're kind of technically over shipping demand. So just if you have normal demand next year, I guess, does it like mathematically imply that those businesses are down? Just trying to understand if there's a way to kind of prevent it. I know like landscape probably normalizes, but it just seems like you could have still some kind of volatility in those businesses too.
Richard Olson: I think the key really is the durability of the demand. So if demand continues at a more normal rate and we can return to a more normal rate of fulfilling the demand. We've got -- we have high confidence in the quality of the orders that are out there right now. In fact, we've gone through an exercise to refresh them and make sure that they're current. So, we've got high confidence in the demand that's there. We have good confidence in the future demand and our work is to manage that to a more normal level. And if there's not a collapse in demand in the market, which we don't believe there will be, we have the ability to manage that back down to a more normal rate without the air pocket that you're talking.
Tim Wojs: Okay.
Richard Olson: And then back up to that -- yes, the backup to that plan is that we -- the strength of the portfolio, we have other businesses that will be coming back online, eventually snow will return to normal. We have the landscape contractor business that's getting healthier as well.
Tim Wojs: Okay, I understand. And then if I could squeeze one more last one in. Just on the upcoming administration, I guess, do you explicitly have anything in the guidance related to tariffs? And then how have you kind of thought about immigration? I know a lot of your products drive productivity, so that could be a positive, but is there a risk that some of your customers could actually just have a lower earnings year if they just don't have as much labor to complete the same number of jobs? I guess how would you kind of answer that question?
Richard Olson: And maybe going backwards, as you know, most of our customers really have jobs that have to get done one way or another. So if they've got -- they're maintaining a property, let's say, or a golf course or municipality, that work has to be done. And if they are restricted on labor, they are going to be exceptionally interested in higher productivity machines, whether it's -- the ultimate would be Autonomous, but we also have many solutions that just provide much higher productivity of -- with a high-return on investment. So, that we believe demand for those products will be greater. So, we view that as a positive, although it's going to be a challenge for our customers. And then just back to tariffs, just a couple of things. We have not included the effect of tariffs in our guidance. And I would just remind that the vast majority of our products are produced in the United States and virtually all of our professional products. We do have production in Mexico for some of our more price-competitive products. And with regard to China, specifically, we've substantially reduced our China risk since 2016. So, we've done some positioning for this current situation and I think the biggest thing is we're closely monitoring all the factors and making sure that we've got mitigations in place for anything that would be negative. And then on the flip side, just making sure we take advantage of what we see as a number of very positive potential moves that are out there as well.
Tim Wojs: Okay. Thanks for all the color and answering the questions there. Appreciate it.
Angela Drake: Thank you, Tim.
Richard Olson: Thank you, Tim.
Operator: Thank you. One moment for your next question. [Technical Difficulty] question comes from the line Josh Wilson of Raymond James. Your line is now open.
Joshua Wilson: Good morning. Thanks for taking my questions.
Richard Olson: Hi, Josh.
Angela Drake: Hi, Josh.
Joshua Wilson: Just a point of clarification first as it relates to the 2025 guidance. When you talk about stable conditions for landscape contractor and Intimidator, does that mean you're assuming sales of those sub-segments are flat year-on-year in 2025 versus 2024?
Angela Drake: I'd say we're still working down the field inventory for both of those. We haven't said that they're flat, but we will be working those down for both snow and lawn care field and including both of those that she mentioned. But we expect it to be better year over year.
Richard Olson: We quoted an 80% number, I believe in the third quarter of the work that we've done to bring field inventory down. We probably would have expected that to go even further by this point, but we're probably at a similar level. So we still have some work to do to adjust our field inventory where we are in a much better position than we were last year at this time.
Joshua Wilson: Got it. Thanks for that.
Richard Olson: Thank you.
Operator: Thank you. One moment for your next question. Your next question comes from the line of Ted Jackson of Northland. Your line is now open.
Ted Jackson: Thanks very much. Skin of the teeth guided by the Q&A. Good morning.
Angela Drake: Good morning.
Ted Jackson: My first question is pretty simple. It's kind of the flip side of the earlier question with regards to working through the backlog and then air pocket. As you normalize your dealer inventory and you, let's say, you hit your expectation of getting that normalized before you exit this year, wouldn't the flip side being the case that where we could see a pickup in your sales because you're no longer having to deal with that headwind. And that would be something that could be a tailwind for you in 2026 and perhaps even in the second half of 2025.
Richard Olson: Yes. I think, Ted, you speak to -- I mean, there's a couple of elements of that. First of all, the movement of our various markets. So if you do -- if you did have a continuation of healthy markets for golf and underground, which we believe has a long, demand looks positive from our perspective at this point, and with the recovery potentially in landscape contractor in some of the areas that have been a little bit muted, that would be a combination that would be positive -- net positive for sales. So I think that's definitely true. True but subject to how the year plays out, macroeconomics, et cetera.
Ted Jackson: Yes. Well, at least, hey, it's going to snow tomorrow, just pointing that out, at least where we are. Second...
Richard Olson: We're all aware of that.
Ted Jackson: So, second question, you commented in the last call that you were seeing the rental market softened. And I was looking for an update on that. I mean, if you listen to the calls during the third quarter for most of the rental houses, they're clearly kind of -- they're not getting the utilization rates they had in the past. The outlook for them is a little more subdued. They're pulling back on some of their CapEx. I mean, I know it's just -- it's just one portion of your business and not like the thing that drives everything. But what have you seen with that business as you've gone through the fourth quarter?
Richard Olson: We did -- I think we may have called out more caution from our rental customers. That is -- it's not a huge portion, a significant portion of our specialty construction business, the compact utility loaders, Toro and Ditch Witch. And two sides of that, so the national rental -- rental people have done some capital investments over the last several years. So their fleets are relatively more new. And I think the caution that they've seen is just in some of the construction areas that have resulted in less rental. You probably -- they have obviously much better commentary on that than we do. On the independent rental, those tend to be more towards homeowner projects, landscaping projects, et cetera. And that's where we see very similar kind of caution to our homeowners that shows up in landscape contractor or landscape contractor professional fees and residential business. So we think that we expect that to kind of move with the consumer confidence and other factors, the macro factors that we've talked about and more normalizing.
Ted Jackson: Okay. I'll leave it too. The feedback queue will be out later today. Is that correct?
Angela Drake: That's correct.
Ted Jackson: Okay, great. Thanks for taking my questions.
Angela Drake: All right. Thank you.
Richard Olson: Thank you.
Operator: This concludes the question-and-answer session. Ms. Kerekes, please proceed to closing remarks.
Julie Kerekes: Thank you, Marvin, and thank you, everyone, for your questions and interest in the Toro Company. We wish you a safe and joyous holiday season. We look forward to talking with you again in March to discuss our fiscal 2025 first quarter results.
Operator: Thank you for your participation in today's conference. This does conclude the presentation [Technical Difficulty]